Serge Van Herck: Good morning to all of you. Welcome to our EVS Broadcast Equipment presentation on our fiscal year 2025 full year results. I'm Serge Van Herck, the CEO of EVS, your host today. And I'm here with Veerle De Wit, our CFO; and Benoit Quirynen, who is in charge of our strategy and acquisition. So welcome to this 2025 session. A few topics to note before we start. The PowerPoint that we are using here today is on our website. This session will be recorded and will be made available later on our website. And last but not least, when you have questions, please put them in the chat we can then at the end of our session indeed read through your questions and then answer them. So again, welcome to this session. And the first slide -- the next slide is one for Veerle.
Veerle De Wit: Yes. Good morning to everyone. So let us start by a small disclaimer. So this presentation actually includes some numbers, and we'll discuss the performance of 2025, but there also are some forward-looking statements within this presentation. Those statements are based on current expectations and our management's assessment of the environment we operate in. We do declare that these statements are subject to a number of risks and uncertainties, and that could lead to a materially different statement in the future. We will elaborate on some of those risks during this presentations, but there can also be risks or market risks that affect or potentially could affect our performance in the future. These risks may contain potentially technology changes, new market requirements, price pressure from competition, but also some macroeconomic or geopolitical events that we cannot foresee today. EVS does not take any obligation of publicly reviewing the forward-looking statements to reflect these risks.
Serge Van Herck: Thank you, Veerle. So let me go forward here with the agenda. What will we be discussing today? Well, of course, we'll give you an update on our business. We'll have a financial more detailed update. We look towards the future with our outlook, and then we'll have, of course, our conclusions before going to your questions, where we will be providing a few answers. So let's start with that business update, and let's go forward to the next slide. You'll see that revenue-wise, we keep on growing. So we are quite happy and proud, of course, to say that we are delivering here a fifth consecutive year of record revenue results, which is in line with the strategy that we developed at the end of 2019 called PLAYForward. So happy to see indeed that growth strategy is delivering upon its expectations and that in an uneven year 2025, again, we are realizing record revenues, which are close to the top of our guidance. And I'll have Veerle explaining on the next slide some more details about those numbers.
Veerle De Wit: Yes. So on Slide 7, you'll see that we have a strong financial performance, and this is in a challenging macroeconomical environment. Our order book grows with 11.3% and closes in at EUR 182 million. Our revenue next to that, as Serge was mentioning, has again reached a record high. We closed at EUR 208.1 million, and it's a 5.1% growth. This growth has been impacted by currency, especially a weakening dollar. correcting for currency changes and therefore, for a constant dollar, the revenue would have been at EUR 211.6 million, which would have represented a growth of 6.9%. To be noted that, that growth is exceptional. Mind that 2024 had Big Event Rental Revenue. And so if we normalize 2024, excluding -- to exclude that Big Event Rental Revenue, the growth was at 14.2%, which is a stellar growth for us. It also ends at the high-end range of our guidance. From an EBIT perspective, I believe that we also put down a strong EBIT performance. We had an EBIT performance at EUR 43.3 million, which is actually a decline of 3.7%. But again, normalizing this performance with the constant currency, the EBIT would have been EUR 46 million, a growth of 2.4%. After a strong -- weaker first half, our performance in second half has been really, really strong, combining a very strong revenue performance, but also with a very, very sound cost control to reach that EBIT number. From a net profit point of view, we see a net profit of EUR 38.5 million. It is a decline of 10%, but it is to be noted that the net profit is impacted by some elements that change between EBIT and net profit. So we, first of all, have a EUR 0.8 million of interest on long-term receivables. This is a temporary impact that was already declared in first half. And then there is a EUR 1.2 million of true-up -- tax true-up related to prior periods. If you would have normalized the net profit with those two elements, the net profit would have dropped to 5.6% compared to last year. From an FTE point of view, we see a growth to 792.8 FTE at year-end. It is a growth of 12.4%, and it actually demonstrates an 87 FTE growth throughout the year, which partly obviously is linked to new acquisitions and for the rest is linked to, yes, growth in our team member base primarily linked to the Double Down North America strategy and to some investments in research and development. So again, we believe that our revenue growth in 2025 is strong and is in line with our PLAYForward strategy. And it's important to note that it overcompensates the Big Event Rental Revenue of 2024 and therefore, is an important milestone in our growth path.
Serge Van Herck: Thank you, Veerle. Going to that next slide with our key highlights for the year. We're happy to say like our press release also says that we delivered a fifth consecutive year of record revenue with accelerated momentum in North America. So let's have a look to those different topics here. Let's first start with market and customers. So we see indeed that our business in North America is growing strong, and that despite the tariff situation that we've seen early last year. We see also that the number and the size of large commercial deals keeps increasing. We see that our channel partner strategy is delivering on the expected growth. We see -- and we've been saying that for a few years now that we expect our LAB customers, our Live Audio audience Business customers to grow and that we definitely see both in revenue and in order intake. We also see an increased cross-selling between solutions, which is clearly highlighting the value of the EVS ecosystem that we are offering to our customers. And last but not least, here in the beginning of that market and customers paragraph, when we talk about Big Events 2026, we have indeed secured the contracts for large events this year. And we're also happy to say that our new technology VIA-MAP, but also Move Up and T-Motion will be used in some of those important games. When talking about technologies, we've been further working on XtraMotion, and we have launched XtraMotion 3.0. We have further extended the generative AI effects and features by giving more and more capabilities, which we see more and more being deployed and used by our customers. We have further expanded our MediaCeption portfolio with Move Up and Move IO, thanks to the acquisition of MOG Technologies that we did in 2024. T-Motion and Move solutions have now extensively also been used during those big winter events. So happy to say that MOG and T-Motion have been used over there. And last but not least, in '25 at IBC, we also launched Tactiq as part of the flexible control room solutions, which will have a major impact in the future on the way that our customers are creating live production. So another important launch in 2025. When we look to the corporate topics, of course, number one is the acquisition of Telemetrics in the U.S. and XD Motion in France to enable us to create the new T-Motion Media Production Robotics solutions. Last year, again, we've received for the fourth year in a row, the top employer certification. And we see that our engagement survey with our colleagues shows that we are indeed a great place to work. We keep on focusing also on ESG. We understand that the world is changing. But at this moment in time, we still believe that ESG is part of our DNA, and we will continue to focus on that. We are, at this moment, also proactively looking and trying to mitigate potential supply chain disruptions. And we further, of course, make sure that the application of the U.S. tariffs hinder us as little as possible, of course. When we look to the team in North America, at the end of 2024, we had about 50 team members, at the end of 2025, we were above 100, and that is indeed because we've done the acquisition of Telemetrics, but also we've been hiring colleagues, further colleagues in sales and customer support. And by doing that acquisition of Telemetrics, we have now also an R&D and a manufacturing capability in North America, more precisely in the U.S.A., of course. And last but not least, here for our shareholders, happy to say, of course, that we have that fifth year of record revenue and then an uneven year and that we see indeed our order book further growing and that at the same time, we are creating quite some additional cash. We're delivering a strong EPS of EUR 2.73 per share. And last but not least, if you look at the total shareholder return since 2020, we see an increase of 159%, of course, which is based on the growth of our valuation and the dividends that have been paid during that period. So when we go to the next slide, when we talk about what we like to say our BHAG, our big hairy audacious goal to become that #1 solution provider in the live video industry, we definitely see that 2025 is helping us forward with achieving that objective by 2030 and which will also generate at least a revenue number of about EUR 350 million in 2030. So we're quite happy with the results that we've been able to deliver, which are on the top of our guidance and for EBIT even slightly above our guidance. When we talk about PLAYForward strategy, I'll be happy to have on the next slide, Benoit, taking us through some of those evolutions.
Benoît Quirynen: Thank you, Serge. Good morning, good afternoon, everyone. So yes, we continue our journey, our transformation journey for our portfolio. So we -- as you know, we evolved from a product company to an ecosystem company. And we are more and more articulating the solutions that we created in the last years to transform these solutions to behave more as an ecosystem in multi-tier market. So we see an evolution and a higher appetite in our business model, more OpEx, more on demand, and we are structuring our systems for that. We are growing definitely more in broadcast centers and even beyond broadcast centers in live audience business. While we were EVS company focused on hardware, we are really becoming software everywhere, and we have launched as well some SaaS services. And while we were focusing mainly on sports, now our portfolio and our customers are adopting our technologies to support workflows for entertainment, news and starting to use it as well more and more for digital. So our portfolio is really adapted to the market structure. So we see a continuous market growth based on growing supply of live events. So the volume of live events is increasing and the complexity of live events is also increasing, especially because the consumers, the audience, they want more and more immersive content. They want to be part -- they want the emotion of the event. Second, we see an evolution in the client landscape structure. We see consolidation. We see transformation in the business models as well of our customers. And we see that based on that, they are changing their operating models. We see more and more remote productions. We see hybrid production mixing on-prem systems and cloud systems. We also observe the adoption of artificial intelligence. And this is reflected as well based on the technology trends and our technology, where we help our customers to adopt the IP-based technologies. We help our customers to adopt artificial intelligence and all these changes in the operating model. I don't need to detail. I think this Monday, the fact that the macroeconomic context is changing and it's sometimes changing fast. And as mentioned by Serge, we remain committed on the ESG dimension to make sure that we optimize globally our governance and also globally our carbon footprint. So we do that based on the 4 solutions that we have created along the years. Organically or through acquisitions. So we have the 4 solutions, LiveCeption, MediaCeption, MediaInfra. And this year, we have as well T-Motion, which is the Media Production Robotic solution based on the two acquisitions. So we are articulating these four solutions as a mission-critical ecosystem. And we have seen the adoption of LiveCeption by key customers as a Gravity Media and FightPoint broadcast showing that the XT-VIA server is still leading the pack in terms of the quality of the product and solution. We have seen as well the adoption by the RBFA, Royal Belgian Football Association of the Xeebra VAR solution, but operated in a different way, in a fully centralized way. And we have done this deployment with the support of Gravity Media partner. And then we have also deployed LiveCeption Zoom, which enables our -- the operators, so the replay operators to now have more precision to really capture the emotions and Zoom on the face of the athletes when they are in the middle of their action. In terms of MediaCeption solution, the VIA-MAP integrating MediaHub has been deployed and will be deployed during the Big Events this year. We have also won customers in North America who will articulate all its production around MediaCeption workflows from ingest to distribution and including media management. We have also won and starting to deploy NDR for the Tagesschau, in fact, one of the most known show in Germany, where VIA-MAP will also be used. And based on our acquisitions in Puerto in 2024, we have also enhanced the MediaCeption portfolio to increase the flexibility and the efficiency, thanks to the two products, Move Up, which is a flexible ingest and Move I/O, which is the transcoding. Then in terms of media infrastructure, we have also proven that our Neuron View technology helps our customers in OBVAN and Greek Video, which is a very large LSP in North America is now adopting Neuron View. Cerebrum is at the core of very complex workflows on Gravity Media. So trying to -- or not trying, but solving the complexity that I was referring in the previous slide. We have also launched at IBC, Tactiq as the core of flexible control room that will enable our customers to adopt flexibility within their production with operators playing multiple roles depending on the nature of the production. And we also have sealed a strategic partnership with Qvest, which is important because this flexible control room solution assumes change management by our customers. And so it's important that our channel partners can help our customers to adopt these new technologies and transform their way to operate. And last but not least, the T-Motion solution has been created based on the two acquisitions in the Media Production Robotics. The two solutions have been -- the two companies have been selected, in fact, because they provide both safe, stable, smooth systems with sustainability as a core of their offerings. And in fact, as mentioned by Serge before, some of the technologies here have always also been used -- sorry, during the winter events a few weeks ago. So globally, what we observe is that the number of customers leveraging multiple EVS solutions is continuously increasing. So we see the adoption of the EVS ecosystem. And I will hand over to Serge.
Serge Van Herck: Yes. Thank you, Benoit, for that overview. And let me indeed continue with one of our major growth engines, which is North America. You remember in 2024 that we added a specific pillar to our strategy to accelerate our growth in North America. And we're quite happy to see indeed that this is becoming reality, not only in revenues, but also in order intake and pipeline creation and a number of colleagues, of course. So what you can see here indeed is on the left-hand side, the order intake for our Live Audience Business customers in North America, which is growing really strongly over those last years and which shows indeed that our strategy is the right one to focus on that type of customer. We also see that -- and that is good for the future, of course, that our pipeline, our commercial pipeline keeps increasing and is contributing to our overall pipeline growth that we will see on a later slide. But this is definitely an important growth. As we can see that in the U.S., the growth of the funnel year-over-year is 47%. So that definitely shows that we also have quite some opportunities in front of us to continue the growth that we are realizing in the U.S.A. And last but not least, here on the picture, you can see a few of our new colleagues. As I said before, we doubled from 50 to 100 end of '24 to end of '25 by hiring more sales and customer service colleagues, but of course, also with the acquisition of Telemetrics, which gives us now also engineering and production facilities in North America. So that is really definitely an important element of our strategy that is helping us to realize our growth. When we go to the next slide, I'll ask Veerle to comment a bit on that path to our BHAG.
Veerle De Wit: Yes. Thank you, Serge. And as mentioned by Serge earlier on. So this is our BHAG goal. It's achieving EUR 350 million of turnover by 2030 and most of you probably have seen this slide before in orange, you see the linear growth compared to the ambition defined in 2019 and the revenue we did at that point in time, it was EUR 103 million revenue. And so the orange is a linear growth towards that EUR 350 million. In blue, you see the realized revenue number year-by-year. So we remain ahead of track versus that linear growth. And the good thing is that if we actually look at our projections for the future, based on our current portfolio, we see that we can achieve something or number in 2030 that is a little bit north of the EUR 300 million. This is by just following the market growth and also growing the market share that we have in each of our different solutions. And then the remainder is obviously still a focus item for our merger and acquisition strategy. And you'll see for the first time, and we won't stop at EUR 350 million in case we find, for instance, bigger acquisitions that can help us fuel that growth in the future. But you see actually the lighter blue box, the goal is to close the gap to the EUR 350 million by further merger and acquisitions. And the good thing is that we have the financial power actually to execute on that strategy. So we remain very confident that they carry an ambitious goal of reaching EUR 350 million by 2030 is within our hands. And for sure, we will continue our journey towards that path.
Serge Van Herck: Thank you, Veerle. Going forward to the next slide talks about our total addressable market, and you will recognize that slide as we've been using that also at the end of '24 during our Investor Day and then we indeed said at that moment in time that we're working to further increase our total addressable market which indeed in '25, we have done, of course, by the acquisition of Telemetrics and XD Motion. So there, we are increasing our total addressable market with about something more than EUR 100 million. But in the meantime, with new solutions, also, for instance, in LiveCeption and MediaCeption. We are taking some part of the camera business by our AI capabilities like XtraMotion. So we definitely continue working on further expanding the total addressable market. And as Veerle said, we still foresee to do some further acquisitions in the future, and that will be with the same objective of further increasing that total addressable market. Going to the next slide, we come back to that acquisition that we did in 2025. And here, I'll ask Benoit to take over again.
Benoît Quirynen: Thank you, Serge. So we did acquire two companies in 2025. In fact, the first company was Telemetrics based in U.S., Allendale, New Jersey, and then XD Motion, which is based in Coignieres in France. So both acquisitions position EVS in the Media Production Robotics as a real leader in this domain. So in fact, with this new solution, we enhance our ecosystem. We aim to reduce the complexity. And we -- by this acquisition, we also creativity. We create flexible solution for our customers to enhance this creativity. And with this two acquisitions. We make also an extension. We go from control room to the studio. As you see on the drawing here, of course, the robots are in the studios and in the venue. So that means that it's an important step for EVS. The two companies are very complementary, in fact, and they bring different kinds of robots, different kinds of gears that can be articulated and controlled by software-driven controller. And what we plan to do is to really develop the software control also to embed more and more AI. So with these 2 solutions, now we have the broadest premium Media Production Robotics portfolio, covering both indoor studio environment and also covering the news outdoor, typically for stadiums, but also typically for Big Events. What we want to do with EVS is to enhance the services, thanks to our global worldwide coverage. We want to increase the quality and coverage of our SLA. We want also to develop further the solutions to include AI and then we want to really embed these solutions into the EVS ecosystem to reduce the complexity for our customers and increase the creativity. So AI is really something at the core of EVS solutions. We didn't start it just after Chat GPT, we started much earlier. Since 2017, EVS is deeply engaged in AI transformation. And we apply AI across our whole portfolio to increase productivity and automation, to reduce the complexity for our customers, but also to address the creativity. So we embed in our solution, third-party AI. In fact, and typically, we can do object detection, face detection, person detection to index the content so that it can be retrieved easier. But we have also developed creative tools with XtraMotion for a very nice replay for cinematic effects, a lot of computer vision AI technologies that are our own models developed by our own teams and really very specific to address two key aspects of AI deployment in media, which is, first, the need to cope with very short latency. In fact, and second, we have the need as well to address the predictability. In fact, it's very important for our customers to have mission critical environment, very predictable. And so we know that with LLM, there is a kind of unpredictable results. Here, we focus on predictability. So deployments on-prem to reduce the latency and a predictable solution. And of course, we don't limit the application of AI to our solutions. We also use AI internally for coding for developing our software and across all our processes, as corporate tools, for example, to improve the support that we bring to our customers. And I hand over to you, Serge.
Serge Van Herck: Thank you, Benoit, for that update on those topics. So let me continue here also with some ESG topics here and more specifically about our team members. We know how important it is to have engaged team members and we do a yearly follow-up an engagement survey, and the results that come out of that are quite encouraging, and we see a very strong engagement level of our colleagues. EVS is a great place to work at 92%. That really shows how we engage our colleagues are. And we also see that from an external world and the certification for top employer also shows that what we do within HR, within the company are definitely the right things for making sure our colleagues are fully engaged all over the world. And last but not least, you also see here on those awards that we receive from Ecovadis from Sustainalytics which also gives an indication of what we do on the ESG side. So there as well, we see quite strong. We keep seeing quite strong results. So we are very happy with that. Going forward on the next slide, let me also touch upon a few main risks that we see at this moment in time. Of course, U.S. tariffs were a big issue in 2025. Fortunately, we've been able to mitigate the impact for our customers in the U.S. by changing our supply chain for the U.S., and that helped us indeed to reduce that impact to our customers. Using our pricing power, we also made sure to pass on a portion -- well, not a portion, the whole impact of those tariffs, but also part of the exchange rate fluctuations that we had with the dollar. And as we see that most of our competitors are also based outside of the U.S. and that the U.S. tariff situation didn't create a commercial disadvantage fortunately. Another topic that we are watching closely is, of course, the availability and the cost of components, which we see for the moment some components rising in cost anywhere the availability also becomes questionable. So we are trying to make sure that this does not further hit our P&L or our capability to deliver, of course, equipment to our customers. So if we remember in COVID times 2020, we also had something like that, and we were also able to mitigate that situation. The impact of a weaker U.S. dollar, we tried to reduce the impact as much as possible. we've seen our growth in North America even being bigger than what we expected, so that helped us to mitigate part of the impact of a weakening dollar. But next to that, we also have a strategy to secure our foreign exchange rate flows with the objective, of course, to limit the impact on the net profit due to that weakening dollar. So those are some of the main risks that we try to mitigate at this point in time. Going forward, we come to the financial update details and I'll ask Veerle here indeed to walk us through those detailed financial numbers.
Veerle De Wit: Yes, Serge and let us start by the top line performance. In terms of order intake, our order intake outpaced our revenue, ensuring actually continuous fueling of our order book. We closed an order intake of EUR 225 million. It's a 7.8% growth year-over-year. And that number includes some of the Big Event Rental contracts of 2026 that Serge mentioned before for a total of EUR 14.9 million out of that number. When we look at a geographical perspective, both EMEA and NALA have considerably contributed to this growth while APAC had a little bit more of a tougher year also linked to the strong euro compared to the local currencies over there. But obviously, it's very good to see that our main regions, EMEA and NALA strongly contributed to this performance. To be noted as well that at constant currency, we expect that there is an impact of around EUR 7 million in order intake. So our order intake would have been EUR 7 million higher should the dollar or not have weakened or would the dollar not have weakened. From a revenue point of view, we already mentioned it. We secured a total sales of EUR 208.1 million. So it's a 5.1% growth. At constant currency, it would have been 6.9% growth. And for us, it was very important to see that we did not only compensate Big Event Rental of 2024, but we even grew over and above that number. So basically, all in all, the growth is of 14.2%, which is obviously a strong base growth. We see a balanced growth as well in revenue across all regions. So it's a little bit different when we look at order book -- order intake, but from a revenue point of view, actually, all of our regions contributed to this growth which, for sure, North America and Latin America demonstrating the strongest growth. And this is a testimony to our Double Down North America strategy, basically. And then to be mentioned from an order book perspective, we continue to grow our order book. Our order book stands at EUR 182 million, which is an 11.3% growth and in numbers, the total order book is growing by EUR 18.5 million. It is to be noted that it is primarily our long-term order book that is increasing significantly. So with secured sales for 2027 and beyond, of more than EUR 81 million. So you see the growth there. We traditionally around EUR 53 million, EUR 56 million of long-term order book. This has now increased to EUR 81 million. So it's a very strong growth. And it's primarily a result of a couple of large longer-term strategic contracts that have been won. It does mean that our 2026 secured sales is a little low. It sits at EUR 100.6 million which is a 6% decline versus the number that we reported at the end of 2024. So the number we reported at the end of 2024 was of EUR 107 million. It is to be noted that, that number eroded throughout 2025, with approximately EUR 10 million. So we could look at a restated number of EUR 97 million there. And in that case, our order book is growing. However, that order book for 2026 is also including Big Event Rental. So I think it is fair to say that from a base business point of view, our order book is not the strongest. This is also linked to the fact that we were able to convert quite some order intake from second half into revenue still in 2025. And so we are confident that we can continue that way of working in 2026 as well. When we go to the next slide, we have some more detailed revenue analysis. We started showing that, I believe, last year as well. So we look at a couple of strategic angles when we do our revenue analysis. Some of the angles look at market pillars. So when you look at the market pillar, you see a strong expansion of our LAB Business, LAB Business being general broadcasters or leagues or stadia or corporates. We do see that revenue grows from EUR 90 million back in 2023, up to EUR 122 million in 2025. So it's truly 6% growth over a 2-year span. And obviously, the LAB is an area where we strategically want to position EVS more and more. So we're very happy with that growth number. When we look at the regions as well, and those are the blue bars that you see, you see that primarily, our growth engine is North America. And if you look at 2023, when we did a number in North America of EUR 56 million right now growing to EUR 78 million. It is obviously good to see that, that growth is absolutely there. So it's a 39% growth, spending a 2-years period. And finally, and you do not see this on this slide or in the graph, but we also focus on recurring services revenue and also there, we continue to grow our SLA basis. So there is a growth in our SLA basis of 37% over 2 years' time. And next to the SLA, we also see more and more flex license revenue, but also ODA, so on-demand activation revenue contributing to that recurring revenue status. So also there, from our strategic angle point of view, we're very happy to see those results. If we go to the next slide, you will then see our profitability. From a profitability point of view, we first look at the gross margin and that gross margin has dropped a little bit compared to fiscal year '24. We closed in a gross margin of 70.8%, which is a 1.5 points drop. It's primarily the consequence of a couple of different drivers. First, there is a change in the business model that is following the U.S. tariffs. So since 2025, we take the impact of the tariffs into our bill of material. It's a EUR 2.1 million impact. That tariff impact is offset by local price increase or price increase in the U.S. We implemented a price increase a little bit later than the tariff impact. So there might be some small erosion there. Second, we have a dilutive impact following the acquisitions we did in October or over summer but they concluded in first of October 2025. So they contributed for 1 quarter into our numbers. And overall, they diluted our gross margin by 0.5 points. And finally, there is also some margin erosion following a weaker dollar because obviously, in the U.S., we sell in U.S. dollars, but most of our components are actually still bought in euros. So obviously, there's also some erosion from that point of view. All in all, we're very confident. We still believe that this is a strong gross margin and we continue to monitor, obviously, all the elements impacting that bill of material as close as possible. From an operating expense point of view, we concluded an operating expense at EUR 103.9 million. So it includes actually all operating expenses, but also other revenue and expenses and ESOPs. So all the way down to the EBIT. It's a 6% growth, but to be noted that it's a very strong control over the second half of those operating expenses. Our first half, we were close to a 10%, even 11% growth. And so we were really able to slow down that growth in second half as to secure our EBIT margin. Why is this increase? It's primarily linked to investments in additional team members. First of all, to support our Double Down North America strategy, but also to accelerate some R&D tracks. And then next to that, it's also the integration of XD Motion and Telemetrics for the fourth quarter of 2025. To be noted that those operating expenses for the full year evolved completely in line with what we set out for ourselves internally. So after a strong and a strong growth in first half, we were very happy to demonstrate that we really can control these operating expenses in the second half. From an EBIT point of view, all of this resulted into an EBIT performance of EUR 43.3 million. It's a 3.7% decline, but we believe that it's a solid EBIT margin at 20.8% EBIT to revenue. That decline is actually also linked to some investments in our operating expenses for which we have a scheduled return on investment that goes beyond 2025. So for instance, the Double Down North America plan has a return on investment that should start as of 2026. And obviously, also the investments in R&D are for longer-term return plans. At constant currency, as mentioned already, the EBIT would have been at EUR 46 million, which is obviously an increase compared to last year. So also there, we see the impact of the weakening dollar. From a net profit point of view, we secured a net profit of EUR 38.6 million, which is 18.5% net margin and as mentioned, it is declining compared to 2024 by 3.2 points, but it's following a lower finance income and a higher tax rate I already explained those events previously. They are expected to be one-off events or events that can recover in the future. Net profit results in a diluted earnings per share of EUR 2.73 per share, which is a small decline of EUR 0.29 per share decline year-over-year, but it's in line with expectations. As mentioned, EBIT guidance was between EUR 36 million and EUR 43 million. So in that sense, we did achieve the high end range of our guidance as well. If you look at the balance sheet or financial structure, we have a net cash position that closes at EUR 58.4 million. It's a decline of 22% compared to 2024. But that decline is fully modeled. First of all, it is because we used quite some cash in financing activities. So we increased our dividend payment. We did a share buyback program end of 2024 that concluded in 2025. And we had reimbursement of lease liabilities. So all of this was planned. We also used cash for like EUR 14.1 million in investment activities linked to business acquisitions or to loan to associate companies. And all of this was obviously offset by a net operating cash flow that increased. So we're very happy with the EUR 58.4 million net cash position at the end of 2025. And as mentioned, it is a decline, but following some well-modeled investments. From a net working capital point of view, you do see quite an important increase in net working capital. So it moves up to EUR 102.2 million. It's an 11.7% increase but that increase is fully linked nearly to trade receivables. First of all, there is the general increase of our business volumes. But second, there were significant deliveries at the end of the year. So our revenue number in December was very, very strong. And obviously, that is receivable that is not due by the end of December and therefore, sits in open receivables and impacts our net working capital. From a net working capital to sales ratio, we're at 49% at the end of the year. But again, it's hard -- it's largely impacted by revenue that we realized in the final month of the year. Looking at trade receivables, you see the reflection of our DSO. And again, also there, we go back to numbers that were '22, '23 in but it's, in our opinion, not concerning because again, it's linked to those shipments at year-end. It's linked to some results sales increase in North America with some major ongoing projects for which the collection is a little bit delayed. And it's also linked to the integration of the receivables for T-Motion. If we look at the structure of our receivables, they remain very healthy. We have some long-term overdue over 90 days. They represent 18% of the total balance, but it's linked to a very limited number of specific cases where we have a very strong focus together with the customer, and we have very low risk of no payment. And we have several of those overdues that actually have been settled early in 2026. So we're confident that this is well under control. If we go to the next slide, we share an overview of our intangible assets. So everything that we put under IAS38, as you surely know, we launched two intangible asset projects back in 2022 for a total of EUR 12.2 million. First project was related to VIA-Map that was announced in September 2023, which, at which point in time, the creation of new intangible assets ended and we started the depreciation of that VIA-Map project in first -- fourth quarter of 2023. And you see that, that quarterly depreciation is now scheduled for a 5-year period at about EUR 0.5 million a quarter. The second project we actually wrote off back in fourth quarter 2024. It was a write-off of EUR 1.1 million and the reason actually for the write-off is that the criteria for IAS38 were not yet met. Not met anymore, let's say it that way. The developments were certainly not in vain, but a product is no longer planned to be launched as a stand-alone product but it's actually a component of the VIA-Map. So the return on investment can no longer be measured. And as such, IAS38 needed to be dropped for that project. But all of this, what it shared with you already in the past, Also, the third project that we launched in 2024, it still contributes to further creation of intangible assets. We have an overall capitalization of EUR 2 million for fiscal year 2025. And we expect to start depreciation of that project as of 2026, end of 2026, beginning of 2027. We continuously evaluate if we have further projects that qualify for IAS 38, there are none at this point in time that we are aware of. But obviously, those things can change quite rapidly. Moving to the next slide. Serge, do you want to do the introduction for the outlook?
Serge Van Herck: Yes. Thank you, Veerle. Thank you for the update on our financial numbers, detailed financial numbers. So let's look now indeed into the future to the outlook. Before asking you to give the guidance for 2026. Let's go to the next slide to have a look at what the commercial opportunity pipeline looks like, and it is definitely an important one. Because it's looking ahead, and it's showing us, indeed, if we have the potential to continue our growth. And the answer to that question is definitely yes. We see that the pipeline that we have here, and it's a snapshot that has been taken on the February 1 of each year. We see throughout those years that it's definitely accelerating and also in 2026. And so we see that it's growing quite nicely since 2019 was a factor of 2.4x. And definitely also, we see an acceleration from '25 going into 2026. So that is definitely important because it shows us indeed that we have the commercial opportunities in front of us in order to be able to continue our growth also in 2026. And that leads us to the next slide, Veerle that you will indeed comment.
Veerle De Wit: Yes. Thank you, Serge. So obviously, we have an important order intake of 2025 that continue to fuel our order book. But as mentioned, that order book is primarily growing from a longer-term perspective and our secured sales or secured order book for 2026 stands at EUR 100.6 million at this point in time. We are confident that this is still a strong level and provides us robust foundations for the years ahead. We are closely aligned to what was mentioned last year at order book. But as mentioned, we reported EUR 107 million order book at the beginning of 2025. But that number experienced some erosion. So there was like EUR 10 million of erosion throughout 2025, linked to milestone projects for which milestones shifted into later periods. We consider that this effect that we saw in 2025 was an exceptional effect. Basically, as our forecasting process has now changed. We now exclude any milestone at risk. And so we're a lot more prudent in our secured sales number than we were last year. Experience has shown us that we need to be careful with milestones that are potentially at risk. So we believe that, that EUR 100.6 million is to be compared to a normalized basis of EUR 97 million of last year. It's true that EUR 100.6 million includes Big Event Rentals. So from a base business point of view, we may see that this number is rather weak, but it's because actually we were able to take some quite some revenue in 2025 of order intake that was done in 2025. So even some of the fourth quarter orders were still delivered in 2025, and this is actually thanks to an organized preproduction of our hardware and software. You may ask your question, why did we start preproduction. So anyhow to a company for our new business model in the U.S. we dissociate now hardware production flows from software production flows. And we just benefited from the occasion to make sure that we have a steady state production of our hardware instead of waiting for us for a confirmed sales order to start producing the hardware as well. It provides us with a lot more agility. It's an agility that is also welcomed by our customers. And so it is something that we will continue in 2026 as well. We will continue to preproduce the hardware and finalize the software as soon as the customer order is confirmed. So we have on one hand, the secured sales for 2026. On the other hand, as Serge was mentioning, we have a pipeline that is very promising. Our pipeline is demonstrating a growth of 26% compared to the same period last year. We don't see any specific drivers impacting that pipeline. It's on the same conditions as last year. It's within a similar environment. So there's no real reasons to believe that, that growth is not a real, real growth. And so a growth of 26%. So we diligently looked at our order book the pipeline, the current market dynamics, and therefore, we set our guidance for the year 2026 to EUR 220 million to EUR 240 million. The midpoint is at EUR 230 million, EUR 230 million, which is close to the consensus, the midpoint of the consensus with EUR 232 million. So we believe that, that more or less models, what the market also reflects Obviously, the range is still quite large. It's a range of EUR 20 million. In the past, we used to call out a range of EUR 15 million, at the beginning of the year. But we do believe that with the growth of our overall business, that EUR 20 million is also obviously justified. Looking at the next slide, we look at the dividend proposal. And based on our capital allocation strategy that we announced last year and the dividend policy that we have in vigor for the years, '25 to '27. EVS does foresee a dividend payment for the year 2025 of EUR 1.2 per share. You see the dividends that we paid out for the years '23 to 2025, and you see the increase of EUR 1.1 dividend per share in '24 to EUR 1.2 in 2025. The final dividend of 2025 will be paid in May, and interim dividend has already been paid in the month of November was EUR 0.60. So the remaining dividend of EUR 0.60 per share is scheduled to be paid in May, and it should be May '26. I apologize for that. Obviously, it's always subject to market conditions, and it's also subject to the approval of the Ordinary General Meeting of Shareholders scheduled on May 19. Serge, over to you again.
Serge Van Herck: Thank you, Veerle. That brings us indeed to the conclusions of this presentation. So when I go on the next slide, what will be the key activities for 2026. Well, you see indeed that we'll continue to focus on consolidating our leadership on LiveCeption. There is no doubt about that. The second one will, of course, be further strengthen the cross-solution ecosystem and further grow the MediaCeption, the Media Infrastructure and the T-Motion business lines. The third topic is continue growing in North America. We definitely see that we have opportunities for further growing. It's for sure one of the largest markets in our industry. So we really think that we can further grow in North America. We'll continuously also further work on developing those adjacencies, some of those adjacent markets that we've started to approach like, for instance, the corporate market is one of them. We continue diligently on that one. The channel partner part is, of course, critical to our strategy, and we expect to further strengthen that this year by putting even more focus on it than before, also with some additional resources. And last but not least, of course, we look forward to continuously deliver those Big Events. And we've seen already some important winter events coming on screen, but we have in the summer some other major events, sporting events happening and that we will also be able to support and deliver on screens worldwide. So those are the key activities for '26. And when we come then to the next slide, which really presents the conclusion of today, I would say that we see that our figures in '25 prove that we are progressing well towards our BHAG and that the strategic growth pillars that we've been focusing on definitely demonstrate that progress we were hoping for. The EPS of EUR '25 definitely supports the dividend of EUR 1.2 per share that Veerle just mentioned. You also just heard from Veerle that we are projecting a revenue guidance of somewhere between EUR 220 million to EUR 240 million, including a Big Event Rental, which definitely shows that we are very confident in our growth. And last but not least, we expect to further invest in North America as we see considerable growth over there. And next to this investment, we also will further make sure that we control our expenses. You've seen Veerle explaining that we've been focusing heavily on our expense control, especially in H2. And as such, that should enable us to ensure a balanced growth as to support, of course, our long-term profitability model. And that's it for today in this presentation, and I give the floor to you by checking indeed the questions that we have in the chat here. So I'll ask my colleagues here indeed also to check those questions that came in, in the chat and maybe I can read them together with you.
Serge Van Herck: And I see the first one coming from Michael, who had -- who has four questions. And his first question is, let me read it. What made you decide to start preproduction? It resulted in faster conversion of order to sales. Was this upon request of customers? Did this pull some sales into Q4 that otherwise would have landed in '26? Veerle, do you want to start answering that question?
Veerle De Wit: Yes. I think I explained already part of it. So we do think we had official delivery terms that were still quite long. We have tried to keep those delivery terms long from a predictability point of view for a very long time. But we also see that in reality, we were delivering faster and faster. So it was a theoretical delivery term of 20 weeks, I would say. But in reality, we've seen that we've never been at 20 weeks. We've rather been at 16 weeks on average for the -- up until the year 2024. It has been accelerating throughout the past couple of quarters to 12 or even 10 weeks. And so we saw that when we introduced the new business model for the U.S., we saw that the preproduction of our hardware, not necessarily linked to confirmed sales orders was actually also giving some flexibility or some steady state, I would say, in our production teams that was welcomed very much. So it allows continuous production without necessarily being linked to the inflow of your order intake. And so we decided to also implement that way of working, not only for the U.S., but also for the rest of our business. So there, where in the past, we used to wait for a sales order to be confirmed to launch the production. We now actually preproduce the hardware. And when the sales order comes in, we actually finish off the production with the configuration requested by the customer. Yes, we really believe that this is an interesting way of working. It allows us to accelerate again our delivery terms, which is something that is welcomed by the market and especially for smaller customers. I think large customers, they do plan well ahead. Smaller customers, it was perhaps -- the 20 weeks was perhaps very long. And so this gives us the agility to definitely accelerate the book-to-bill ratio. So yes, we did get some sales get pushed into fourth quarter or revenue get realized in fourth quarter that traditionally would have landed in 2026. Yes, for sure, because this way of producing allows us greater flexibility and agility as well.
Serge Van Herck: Yes. Thank you, Veerle. And let me add to that again, the importance of seeing our opportunity, commercial opportunity pipeline grow, which indeed shows us that we should be able also this year to generate that kind of conversion. I continue with Michael's question here on the gross margin in H2 was below that of H1 in '25, partly due to dilution from acquisitions. Was the rest due to a mix effect? Or was there also an impact from higher input costs like memory chips and graphics cards? Veerle?
Veerle De Wit: Yes. So we don't really see an impact of higher prices for memory chips and graphic cards at this point in time, basically because we planned well ahead our supply chain. So for -- well, anyhow already on the software, there's a very limited impact. There is not a lot of storage, et cetera. So the impact there is very, very minimal. From a hardware point of view, we actually secured our supply chain for the current version of our hardware. It might impact us for the new versions of hardware, which may come within 1 or 1.5, 2 years. But at that point in time, we still have the ability to fix the price as well still in the market for that new hardware or new server, and we'll see at that point in time how we balance cost and revenue. Yes, the gross margin did go down a little bit in second half. And as mentioned, it's partially linked to a dilution of the acquisitions. Next to that, we did compensate for the tariffs and for U.S. dollar, a weaker U.S. dollar, but that compensation came probably a little bit later than the impact of the increase. So it's always difficult to measure exactly what that impact would have been. Is there any other specific trends? I would not say so. We don't see a general increase in our discounting either. We do know that there is one deal, an important deal that was signed with a little bit higher discount rates than traditionally, and that is also having its impact, but it's a one-off event in that case.
Serge Van Herck: Okay. Thank you, Veerle. The third question was about our costs -- operating costs in H2. How were we able to keep it at the same level as H1? I think you already partially answered that, but maybe you can reconfirm that, Veerle.
Veerle De Wit: Yes. I think it's a very strong cost control. Travel expenses is a big portion of our operating costs. And yes, we have been very diligently looking at that and slowing it down. And we hope that this will also have its long-term effect that we challenge more the travels that we do. Next to that, yes, very strong control over employee costs and also the growth in team member base. So we have been really limiting the growth in second half. And we continue this way of working in 2026 as well. So we shouldn't expect now a huge increase in terms of team member costs. There will still be investments, but it's not like we have been slowing down investments that will now all of a sudden pop up again in 2026. So it's really much more diligent looking at what do we really need, what are our priorities and making those decisions. So...
Serge Van Herck: Okay. Thank you, Veerle. I'll move to a few questions from [ Guy Sips ]. I'll take the first one on North America, the efficient -- the investment efficiency and return on investment, how do we evaluate the return of those investments? And what KPIs will we use for the future? So let me answer that one. Benoit, I'll let you answer the second one as well on the T-Motion and robotics. But for the first time, those investments, what, of course, we look at is the creation of pipeline that's looking forward. That's an important one. Then, of course, order intake results are key. We see our growth in front of us. So that means that order intake targets have further increased for North America. So we'll be focusing on that. And last, but not least, is about revenues, of course. So those are the most important KPIs that we are following at this moment in time for checking on our investments on North America. And we know that some of those investments will take more than a year, of course, to fully deliver upon their expectations. Benoit, question #2 on T-Motion integration.
Benoît Quirynen: Yes. So first, we started the integration in Q4. So globally, in terms of gross margin, the gross margin is lower for robotics for the moment than on the rest of the portfolio. We plan to increase the gross margin along the way because we want to value more the software than the hardware globally. And yes, it will take a bit of time. Globally, the T-Motion revenue compared to the EVS revenue is less than 10%. And so that means that the effect of the lower gross margin is quite diluted in the overall portfolio.
Serge Van Herck: Okay. Thanks, Benoit. The third question was on ecosystem and cross-selling. So indeed, we stress the fact that we see that further increasing. We'll do now our best guessing here. We see indeed from our orders we get from large customers that this is indeed increasing. At this moment in time, we can't share our detailed numbers on that one, but it's definitely an important element, and we see more and more customers having 2, 3 or even sometimes 4 solutions. But bear with us, we are working on that, and we would expect in the future to give more detailed numbers on that cross-selling, what that eventually means, all right? Then last question from Guy that I'm reading here, given that Telemetrics & XD Motion together contributed for EUR 4.6 million revenue and diluted margins in Q4, while the full year pro forma contribution has been substantially high. How should we think about the expected revenue and profitability impact in '26? Veerle, do you want to take that one?
Veerle De Wit: Yes. I think it's difficult to just extrapolate the numbers of fourth quarter because they were quite exceptional. So we don't believe that, that is repeatable from the longer term. But definitely, from a gross margin point of view, there's a lot of reasons to believe that we can limit the impact on the gross margin, so 1 to 1.5 points because basically, it's also a question of scale. So obviously, T-Motion, we won't have huge investments into sales to actually drive revenue growth. It is something we are leveraging our sales infrastructure that we have. It's a very tangible product. So it's easy, understandable and can be positioned. So with very minimal investments, we can actually expect growth. And also, where we expect margin improvement is from an SLA point of view. So this is what Benoit was referring to earlier on. We do believe that we need to scale SLA revenue for T-Motion. And also there, we will leverage the support for organization. So yes, part of it is really specialized sales support, but for the rest, we can leverage the existing organization that we have already. So again, it's very tough to just extrapolate the fourth quarter performance. And we do believe that, that 1% to 1.5% points, gross margin dilution is the best guess for 2026.
Serge Van Herck: Okay. Thank you, Veerle. I'm moving to questions from David, David Vagman. Can you quantify intangible capitalization in '26?
Veerle De Wit: Yes, it's going to be fairly limited to one project only. This is what I mentioned previously. So we continue to develop the project that we launched in 2024. It's probably going to be between EUR 2.5 million and EUR 3 million on this specific project. And then, we'll have to see how -- if any new projects come by. We have no understanding of any new project at this point in time, so -- but this one and only project will probably account for EUR 2.5 million to EUR 3 million.
Serge Van Herck: Okay. Thank you, Veerle. Next question from David was about how much opportunity do you have to increase prices in '26, given exchange rates, tariffs and component prices, but also competition. So let me answer that one. So we'll be careful, of course. The tariffs, of course, will pass on if those changes because those will be applicable for everybody and everybody understands that. Component prices, yes, there were already some components that are increasing heavily in price. So we might pass on some of those increases. The market understands that those prices are increasing. So we think we can explain that. And a similar situation is applicable, of course, for competition. The components, they are acquiring are also subject to those price increases. So yes, we have price power, but we'll be careful in applying that. But any cost increase, definitely, we'll try to -- we'll make sure to pass them on to our customers by increasing prices where needed. Another from David, how much of the '26 order book is to be generated in H1 '26, most of it given shorter delivery times? Veerle, do you want to take that one?
Veerle De Wit: Yes, I don't think we'll provide a specific number. But yes, the majority of that order book is planned for first half. So yes, it's a logical event of the shorter delivery times for sure. Yes.
Serge Van Herck: Then the next question is from Jean-Pierre Tabart about our workforce in the U.S. So yes, we increased with more than 50 projects in '25. Do we expect the same pace in '26? There the answer is definitely no, unless we would do another acquisition, of course, but that's not on the agenda today here. So definitely, we'll slow down. We still see some increase also to further strengthen, for instance, the telematics or the T-Motion teams and some commercial roles, but it will definitely be much slower than in 2025. Then, the next question from Jean-Pierre. Will the growing integration of AI enable you to accelerate the execution of your innovation road map while controlling your R&D expenses, less recruitment required? That is indeed a good question. So definitely, AI is helping us to first improve our products, the features and capabilities that we provide to our customers based on certain of our AI capabilities is increasing the value that we propose to our customers. So we also expect to see revenue generating out of that further increase. And then, to respond to the question here, will it help to accelerate the execution of our innovation road map while controlling our expenses? The answer is yes. We are indeed having several colleagues within the company, and not only within R&D, already using AI tools to improve efficiency. So I think we did already more than a year ago first proof of concept, and we saw already an improvement of about 7% in the R&D environment, and we expect that to further increase. So that's definitely something that we focus on. And with new tools coming online and more and more available, we are testing them and see what value that they bring indeed. Then, Jean-Pierre's third question is, why not provide EBIT guidance? That is because we typically do that with the Q1 results. So indeed, after the fiscal year results, we provide a guidance on revenue. And with Q1 results, we will be providing EBIT guidance. All right. Let me go forward here with a question from [ Alexander Leipold ]. What gross margin level do you expect for '27 -- sorry, '26, considering the additional T-Motion dilution and continuing dollar weakness? And at what point do you expect T-Motion margins to converge with EVS group margins? Veerle and Benoit, do you want to take that?
Veerle De Wit: Yes, I do believe that, again, from an organic point of view, we believe that we can sustain the margins that we do right now. So we did some price increases over summer to cover for the weaker U.S. dollar. So it does take a little bit of time to make sure that they flow through in our P&L. But we do expect that we right now have the right balance. And obviously, there might be a mix that is still playing in our disadvantage. On the other hand, we see that more and more software embedded in our solutions offsets the mix impact. So all in all, we expect that from an organic point of view, we can keep our margins. As mentioned, the impact of T-Motion is 1 to 1.5 points for the full year 2026. And yes, how much time does it take us to convert to standard EVS margins? Benoit, I'll let you.
Benoît Quirynen: I think it will take a few years, in fact, because we have to proceed with the integration, the transformation, also the communication to our customers valuing the SLA because the SLA, as mentioned by Veerle, is also an important component of the increase of the gross margin. So it will take a few years.
Veerle De Wit: Yes. Yes. And we see it from past experience as well, it's a gradual progression. But if we look, for instance, at the acquisition of Axon that we did in 2020, after 4 to 5 years, we start to see a conversion or a profit margin that is closer to what we would expect from a standard EVS portfolio. So it depends on also prices that we can push into the market, but then also leverage growth and all of the -- it's a combination of all these elements, obviously.
Serge Van Herck: Thank you, Veerle and Benoit. I go to some questions from Alexander Craeymeersch. So first one is, on a like-for-like basis, your '26 order book is currently running 12% behind where it was at this point last year. Given that backdrop, do you have confidence that you can deliver organic growth ahead in -- ahead of '25, given that H2 has somewhat weakish organic growth? Or is the stalling inorganic growth a bit temporary? Veerle, I guess, you can start, and I will complement that.
Veerle De Wit: Yes. Yes. So I do believe if we unleash traditional metrics on our beginning of year order book, I think, yes, probably we can say that, that is weak. However, what we mentioned is when we change for the new business models and we do now that preproduction and we're gaining an agility in terms of deliveries, we believe that actually historical metrics on our order book are not very relevant anymore. So that's why our current guidance is much more focused on pipeline and our ability to convert that pipeline into won orders and deliveries. So yes, we do believe that it is possible to define historical metrics order book given the changes in the business dynamics.
Serge Van Herck: Yes. And I will repeat myself here, the fact that we see our commercial pipeline further growing is a positive element looking forward, of course. So that's something that we need to keep into mind, of course. Second question from Alexander was about Asia Pacific revenues were down 25% year-on-year in the second half, yet, there was no specific commentary on this in your results. That's indeed because we are mainly looking at the full year and that we saw full year revenues for APAC being more or less stable to -- compared to the year before. Could you help us understand what's driving that weakness? And what your outlook is for the region going forward?
Veerle De Wit: Yes. I think...
Serge Van Herck: Yes.
Veerle De Wit: I'm sorry. Serge, you want to...
Serge Van Herck: Yes. Go ahead, Veerle. I will complement.
Veerle De Wit: Yes. And definitely -- so it's very important to note. So there is no immediate FX impact for APAC. So we sell there in euro. What we do see is that customers are delaying decisions actually. So with the current euro being relatively strong for them, a lot of decisions are being postponed and delayed, waiting for a little bit of a better climate. So obviously, the slowdown of order intake over 2025 in APAC will have its effect on the revenue taking in that region. And yes, in second half, they were down year-over-year, but it's definitely an element of that order intake slowing down as well. So the revenue always lags a couple of months on order intake. Will that recover? We'd expect that to recover. Now, on the other hand, we don't expect the biggest growth out of APAC in 2026 either given the order intake of 2025. So yes, we'll have to look there, so -- but there's no real FX headwind specifically to that region. And I think on the FX exchanges or impacts compared to U.S. dollar, I think we've been able to quantify that in the press release already. So I'm not sure if there are further questions around that.
Serge Van Herck: Okay. Thank you, Veerle. I think we went through most of the questions. So did I miss something? I see a question about the increased dividend of EUR 1.2. Will that be the level in the next years to come? I think that you answered that one, Veerle, as well.
Veerle De Wit: Yes. So we issued a dividend policy for the years '25 to '27 at EUR 1.2 per share. So in principle, that is fixed over the next couple of years. Obviously, always dependent on market situation and our results. But that is the guidance at least for the years to come.
Serge Van Herck: All right. Then, I see a question from [ Patrick Millecam ]. Beginning of '24, you indicated the EUR 7.4 million order intake for Big Event Rentals. In the '24 results, you realized a record revenue of EUR 15.8 million. Now, you already have EUR 14.9 million order intake for Big Event Rental. What is your best guess for the total eventual revenue for Big Event Rental in '26? And do you expect additional revenue orders?
Veerle De Wit: Yes. I think, yes.
Benoît Quirynen: You have to be so good to be in that one. Yes.
Veerle De Wit: Yes. I think we secured like EUR 14.2 million from an EVS point of view, but then the order intake from T-Motion added on top of that. So yes, we do expect Big Event Rental in 2026 is going to be around EUR 15 million. It can move up a little bit still from what we have secured right now because sometimes there are some small orders being added just prior to the event, but it's going to be very close to that number.
Benoît Quirynen: And '26 is a different kind of event scheduled than '24.
Veerle De Wit: Yes. Absolutely.
Benoît Quirynen: In fact, the multisport events happen in the winter and not in the summer. In fact, the order -- some of the orders are taken earlier and typically the year before.
Serge Van Herck: Good. I'm looking to my colleagues here. I think I took all the questions here. Did I miss any? No. It's okay.
Veerle De Wit: I don't think so.
Unknown Executive: No.
Serge Van Herck: All right. So, good. Well, then, I think we can close this right on time. So thank you all for participating today. Happy that you could follow this session. As you can see, we're quite proud and happy, of course, with the results that we've been able to deliver in '25, which are at or even slightly above the guidance that we gave throughout the year. It was not an easy year, and a lot of things happening in the world, a lot of headwinds, but still we are proud with the results that we achieved. And we have quite high confidence that we can continue also in 2026 on that growth path that we have set out for the years to come, of course. So thank you again for joining us. Thank you, Veerle; thank you, Benoit, for helping me here with the presentation. And as I said before, this will be also available on our website very soon. Well, the presentation is already available, and the recording will be available very soon. So thank you very much for attending today and look forward to see you soon. Have a nice day.
Veerle De Wit: Bye.
Benoît Quirynen: Thank you.